Operator: Greetings. Welcome to Valmont Industries, Inc. Third Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. We ask that you please limit yourself to one question and one brief follow-up question and return to the queue. Please note this conference is being recorded. I will now turn the conference over to your host, Renee Campbell, Senior Vice President, Investor Relations and Treasurer. Ms. Campbell, you may begin. 
Renee Campbell: Good morning, everyone, and thank you for joining us. With me today are Avner Applbaum, President and Chief Executive Officer, and Tom Liguori, Executive Vice President and Chief Financial Officer. Earlier this morning, we issued a press release announcing our third quarter 2025 results. Both the release and the presentation for today's webcast are available on the Investors page of our website at valmont.com. A replay of the webcast will be available later this morning. To stay updated with Valmont Industries, Inc.'s latest news releases and information, please sign up for email alerts on our investor site. We'll begin today's call with prepared remarks and then open it up for questions. Please note that this call is subject to our disclosure on forward-looking statements which is outlined on Slide two of the presentation and will be read in full after Q&A. With that, I'd now like to turn the call over to Avner. Thank you, Renee.
Avner Applbaum: Good morning, everyone, and thank you for joining us. I'd like to start with third quarter highlights and key messages summarized on Slide four. This quarter's results reflect the continued strength of our diversified portfolio and disciplined execution by the global Valmont team. We delivered net sales growth of 2.5%, with double-digit growth in Utility and Telecom. Operating margin improved 120 basis points and diluted earnings per share improved 21%. With these results, and the momentum across the organization, we are raising our full-year earnings guidance which Tom will discuss in more detail shortly. Our strategy continues to guide our decisions and deliver results. We've simplified the business. We're focusing where we lead. And we're directing resources to our best opportunities. United around our shared objectives, and a customer-first vision, our teams are driving innovation, and executing with greater precision. We operate in attractive markets, where our value proposition aligns with customer needs positioning us to capture long-term opportunities. We have the right structure now in place, and we have a strong foundation for sustained value creation. Looking ahead, we remain committed to accelerating growth, enhancing performance, and investing in high-return initiatives that strengthen our leadership and deepen customer impact. Turning to slide five. I'd like to provide a brief update on our 2025 critical objectives. Valmont Industries, Inc. is positioned to lead the North American utility market through an unprecedented investment cycle. We have a multi-pronged approach to growth expanding capacity, and strengthening operating capabilities. Most of our growth CapEx is directed to brownfield utility expansions that increase, upgrade, or repurpose our existing facilities enabling strong returns. We're also increasing throughput by addressing bottlenecks, improving material flow, and implementing new technologies. In agriculture, we're building a more resilient business to improve margins through the cycle. We've aligned resources around key growth areas. Aftermarket parts, technology, and international markets. Aftermarket parts sales grew year over year this quarter, driven in part by our new e-commerce system which all North American dealers now use. To provide industry-leading service and sales. An international rollout is planned in the upcoming quarters. These initiatives strengthen our leadership today and position us for faster growth and higher profitability ahead. Across the company, disciplined resource allocation, a relentless focus on safety, and the dedication of our team remains central to our success. I'm proud of how our employees continue to embrace change, and drive momentum with a continuous improvement mindset. Now turning to slide six, for an infrastructure market update, starting with utility, our largest product line. This business continues to benefit from powerful long-term demand drivers. Data center expansion, manufacturing onshoring, major oil and gas projects, and broader electrification are all contributing to significant load growth expectations. Rising energy consumption, aging infrastructure, and resiliency needs are driving multiyear increases in customer capital plans. Market forecasts call for transmission CapEx to grow at a 9% CAGR through 2029. Our customers continue to turn to Valmont Industries, Inc. to help them execute their multiyear plan across transmission, distribution, and substation as they expand and modernize the grid. We're winning projects because of the value we deliver through our scale, engineering expertise, and proven reliability. For example,
Renee Campbell: we were recently awarded a $65 million extra high voltage project from a leading engineering and construction firm
Avner Applbaum: in partnership with a large utility. This is one of several major wins that reflect Valmont Industries, Inc.'s trusted ability to execute complex large-scale work with consistency, and quality. Moving to lighting and transportation. The Asia Pacific market remains pressured alongside a softer lighting market in North America. Results were also impacted by operational factors. We know this business can perform better. And we've simplified the structure better aligned operations and commercial teams, and strengthen leadership. The long-term fundamentals of this business remain solid. And these actions are improving focus and accountability setting the stage for steadier performance ahead. The rest of the infrastructure business is performing as expected. We're focused on what sets Valmont Industries, Inc. apart. Our scale, deep engineering expertise, trusted customer partnership, and speed to market. Turning to slide seven for an update on agriculture. In North America, grower sentiment remained soft, As expected, record corn and soybean yields wan prices. The USDA expects 2025 crop receipts to decline about 2.5%, reflecting lower prices for both crops. In Brazil, the environment has turned more cautious. Growers are facing tighter credit, slower release of government financing, and ongoing trade uncertainty, leading many to delay large capital purchases including pivots. These near-term pressures are part of the normal cycle following several strong years, of farm profitability and investment. We know how to manage through cycles like this. That's why we're staying focused supporting growers' immediate needs while continuing to deliver customer-centric innovation, for the future. And we're demonstrating that commitment in the field. At recent farm shows, our Valley team showcased a new technology, including the ICON plus control panel a major addition to the Valley Tech Suite. It brings full Accent 365 functionality to any Pivot brand allowing growers to easily connect older or competitive machines. This expands our addressable market and drives growth in recurring revenue. In Brazil, the long-term opportunity remains exceptional. Farmers can grow two to three crops per year with mechanized irrigation, and the return on investment from Pivot is meaningful. With vast under-irrigated farmland, favorable growing conditions, and strong water availability, Brazil will continue to be a key growth market. In our other international markets, results reflect normal project timing. Several large Middle East projects shipped earlier this year, while last year's activity was more back-end loaded. Year to date, sales in the region are up double digits. Project demand remains strong. Government and corporate-led initiatives are longer-term and less affected by short-term crop prices. We've invested in our presence and dealer capabilities to capture this growth. Overall, the long-term fundamentals in agriculture remain strong. And the business continues to deliver solid returns even in a more challenging period. We remain focused on disciplined execution advancing innovation, and positioning us to lead as market conditions improve. In summary, our strategy is delivering results. Execution has been strong, and decisive actions across the portfolio are improving performance even in markets facing near-term macro pressures. With momentum established, and investment plans underway, our team is energized by the opportunities ahead and confident in the long-term fundamentals of the business. I'll now turn the call over to Tom to discuss our third quarter financial results and updated outlook. Thank you, Avner. Good morning, everyone. And thank you for joining us today. Our results are slightly better than expected. Particularly the 21.2% growth in earnings per share. And I want to thank our team for their execution this quarter. As well as the progress made advancing our value drivers.
Operator: Catching the infrastructure wave, positioning agriculture for growth,
Avner Applbaum: and disciplined resource allocation. We made progress in all three. Turning to slide nine. Our third quarter income statement.
Operator: Net sales of $1.05 billion increased 2.5% year over year.
Avner Applbaum: Sales growth in infrastructure, particularly utility, was partially offset by lower agriculture sales. Gross profit margin of 30.4% increased 80 basis points from last year. With improvements seen in both segments.
Operator: SG&A expenses of $177 million were flat year over year.
Avner Applbaum: Operating income increased to $141 million and operating margins of 13.5% improved 120 basis points driven by improved infrastructure results. Below the line, interest expense decreased due to lower debt. Our tax rate declined to 23.1%, due to a more favorable geographic mix of earnings.
Operator: Diluted earnings per share was $4.98 a notable step up compared to historical
Avner Applbaum: third quarter performance. Moving to our segment results on Slide 10. Infrastructure sales of $808.3 million grew 6.6% compared to last year.
Tom Liguori: Utility sales increased 12.3% driven by pricing, and higher volumes. Sales in lighting and transportation declined 3.4%. Due to continued weakness in the Asia Pacific market softer North America lighting demand, and production challenges that reduced output. Coating sales increased 9.7% supported by healthy infrastructure demand. Telecommunications sales grew 37%. Growth was supported by our quick turn order strategy and the strong alignment of our wireless components business with carrier programs. Solar sales declined due to our decision to exit certain markets. Solar revenues are expected to be approximately 2% of total company revenues going forward. And, therefore, anticipate consolidating Solar into another product line for reporting purposes starting in 2026. Operating income was $143.4 million or 17.8% of net sales. An increase of 150 basis points as a result of our pricing actions growth in high-value offerings, and an improved global cost structure. Turning to slide 11. Third quarter agriculture sales decreased 9% year over year to $241.3 million. The North America market remains challenged. Resulting in lower irrigation equipment volumes. International sales declined mostly due to the timing of Middle East project sales. In Brazil, while third quarter sales were steady, the economic environment weakened late in the quarter, as farmers are facing significantly tighter credit. This also created some added pressure on customer payments. Conducted a review of the business. And determined it was prudent to record additional reserves. Including $11 million of bad debt expense. We continue to pursue collection of these accounts. Both operating income and margins declined, to $23.2 million or 9.7% of sales. Primarily due to the higher bad debt expense. Excluding that expense, operating income was 14.1% of sales. While the agriculture segment had a challenging financial quarter, we continue to invest in aftermarket, and technology projects. As we believe the long-term prospects are favorable based on the need to improve farmer productivity, feed a growing global population, and food security. Moving to slide 12. For cash, liquidity and capital allocation. We had another quarter of healthy operating cash flows. Generating $112.5 million. We ended the quarter with approximately $226 million of cash
Renee Campbell: dollars and net debt leverage remains below 1x.
Tom Liguori: During the quarter, we invested $42 million in CapEx, primarily for utility capacity expansion. We returned $39 million to shareholders including $13 million through dividends and approximately $26 million through share repurchases. At an average price of $374.33. Moving to slide 13. Last quarter, we provided a financial road map highlighting our key value drivers.
Avner Applbaum: We remain sharply focused on execution.
Tom Liguori: To catch the infrastructure wave, we continue to invest in capacity and efficiency improvements. And are starting to see the volume growth our revenue. Through the third quarter, we've deployed $78 million of CapEx in our North America infrastructure businesses. Our team made significant progress in capacity expansion in our Brenham, Texas Monterrey, Mexico and other North American facilities. Through these actions, we we've increased our annual revenue capacity in the infrastructure by $95 million.
Avner Applbaum: With more coming online
Tom Liguori: the fourth quarter. We're very pleased with the progress of our operations team and thank them for their efforts. Our close monitoring of industry capacity and the expansion plans of our peers reinforces our view that demand will exceed supply. And we're planning accordingly.
Operator: In agriculture,
Tom Liguori: we have comprehensive growth plans in technology adoption, aftermarket parts, and international markets. In the third quarter, aftermarket parts grew 15% year over year, to approximately $52 million reflecting the continued success of our e-commerce platform. Accent's revenues increased 8% year over year. Largely due to the productivity benefits farmers are receiving from our technology tools to manage their irrigation. These initiatives are gaining traction, and we are beginning to see the benefits in our financials. Lastly, our disciplined resource allocation initiatives are progressing. Third quarter corporate expense declined 6.4% to $25.1 million the lowest level in thirteen quarters. We benefited from the work to streamline the organization, and we continue to pare back our outside service provider cost.
Renee Campbell: At the same time,
Tom Liguori: we're investing in initiatives that will drive longer-term benefits. For example, we recently kicked off a project to simplify our legal entity structure. Which will improve internal efficiency, reduce compliance burden, and strengthen treasury management. On the capital allocation front, our share repurchase program continues. With year to date repurchases,
Avner Applbaum: of $125.8 million or approximately
Tom Liguori: 127,000 shares. Bringing it all together, we are making progress toward our path to deliver $500 million to $700 million in revenue growth and $25 to $30 in EPS over the next three to four years. Turning to our updated 2025 outlook on Slide 14. Net sales are projected to be approximately $4.1 billion which is the midpoint of the previous range. We're raising our full-year adjusted diluted earnings per share expectation to a range of $18.7 to $19.50 increasing the midpoint to $19.10. Before we close, we wanna thank the entire Valmont Industries, Inc. team for their focus on execution moving our value drivers forward. I also wanna welcome Eric Johnson, as our new chief accounting officer. Eric joined the team yesterday and brings a strong accounting and financial background. In large-scale manufacturing, and project businesses. From his prior roles at ConAgra, KeyWit, and KPMG.
Avner Applbaum: We look forward to working with you, Eric.
Tom Liguori: Tim Francis, who many of you know, accepted a position in our international infrastructure group. Tim, we wish you good fortune and much success in working with the international team in your new role. With that, I will now turn the call over to Renee.
Renee Campbell: Thank you, Tom. At this time, the operator will open up the call for questions. Thank you.
Operator: At this time, we'll be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. You may press 2 if you would like to remove your question from the queue. Before pressing the star keys. To allow for as many questions as possible, please limit yourself to one question and one follow-up. One moment while we poll for questions. Our first question is from Nathan Jones with Stifel. Please proceed.
Avner Applbaum: Good morning. This is Adam Farley on for Nathan.
Renee Campbell: I wanted to start on the
Adam Farley: infrastructure margins. Very standout performer in the quarter at 17.8%. And I believe that's an all-time record I know you guys have had a number of ongoing margin improvement initiatives within the company over the last couple of years. Could you maybe talk about the most impactful of these initiatives and where the main opportunities remain to continue to expand margins.
Tom Liguori: Sure, Adam. Thank you for the question. So if we if we go back the last two to three years, the margin benefits have been a combination of pricing and cost. You know, pricing, we are the market leader did provide value-added engineering. On-time delivery, and and scale, and and customers are are willing customers value that. Cost, you know, when Avner started, he took a number of cost actions. And they have dropped through the bottom line. So that's why you see you know, a good trend in our operating margins going forward. From here onward, it really gets back to the the value drivers. You know, our utility expansions, we're very excited about that. And every incremental revenue dollar contributes over well over 20% of operating margin But we also have good things going on in the agriculture group. You know, we have the aftermarket which is basically spare parts growing, and that's because of the e-commerce and ease of ordering that we've allowed with the farmers. And that's at higher margin product. We also have our Accent 365, which is a recurring revenue type model. And so if you think about it, it's really going forward higher mix, higher higher margin mix of of our revenue. And in general, when you look at the the value drivers, they are gaining traction but it's the early days. You know? I'd say we're in the the second innings of of really reaching the potential of those. So I hope that answers your question, Adam.
Adam Farley: Yeah. Thank you for that color. It's very helpful. Yes. Maybe we can talk a little bit about the capacity additions in utility. It looks like the business might be tracking above the $100 million of additional revenue for every $100 million capacity. So maybe could you just talk about if if you're if that's true, and then maybe just if there's any potential upside to the capacity additions and utility.
Avner Applbaum: Yeah. Absolutely. Let me let me take that question. And I'd like to unpack that a little bit and just just, there's a lot of questions around capacity, so I'd like to give a a bit of an overview. Well, to answer your question, first of yes, additional opportunity for us to drive continuous growth and overall while we gave the benchmark of $100 million we are on track to exceed that number. And invest over the next several years to drive increased output. But let me just address the capacity for for a moment. When you look at our capacity, I I bring it out to three layers. Right? There's the physical capacity, which is our plants, our equipment, available hours. There's the operational capacity, which is the efficiency of the flow and the supply chain performance. Then, of course, there's the commercial capacity. You talk about our ability to quote, engineer, and deliver quickly. And it's not static. It flexes every day based on product and customer make. And we are operating at a at a high level of utilization levels, Our plants are running efficiently. But we maintain flexibility to manage mix changes, respond quickly to surge in demand. So we never wanna be completely full that you lose your agility, and we continue to add to capacity as the demand grows. Through our brownfield expansions, through automation, process improvement, so we can stay responsive to our customer
Tom Liguori: needs
Avner Applbaum: while we still maintain efficiency. So with goal to protect our delivery performance, also we have to make sure that we could support our customers if they have storms or emergency or needs. So
Tom Liguori: to stay ahead, we're we're continuing to invest.
Avner Applbaum: We have plans to invest in 2025. We're really well on our way for our investment to drive growth in 2026, and beyond. To continue to drive We've shown that there's strong demand in that area, up around 9% in transmission, and our goal is to keep investing in that space. So to sum it up, capacity, it's a system. It's capital. It's people. It's technology. They all work together. We're running efficiency efficiently. Scaling intelligently, and we're positioning Valmont Industries, Inc. to capture the infrastructure growth while we maintain the agility that our customers depend on.
Adam Farley: That's great color. Thank you for taking my questions.
Operator: Our next question is from Chris Moore with CJS Securities. Please proceed with your question.
Tom Liguori: Hey, good morning, guys. Thanks for taking a couple.
Chris Moore: Yeah. May maybe just start on utility. I've very strong, 12.3% growth. You called out pricing and volume. Were they relatively equal contributors to that 12.3%?
Tom Liguori: Yes. Yes. And the, you know, the pricing goes back do you remember the tariff? Actions we took in Q1? Part of the what enabled us to be profit neutral from tariffs is was on pricing. So know, those orders were placed in Q1. They were shipping in Q3. So half of this is pricing and half is volume.
Chris Moore: Got it. And Go ahead. I'm sorry. Okay. Got it.
Tom Liguori: No. I was just saying that would continue into Q4.
Chris Moore: Very helpful. And for for SG&A, was know. It's 16.9%, something like that, of of of
Operator: Is that sub 17%, is that a
Chris Moore: Revenue in Q3. is that a target moving forward? Is that a is that
Renee Campbell: know,
Chris Moore: realistic, over the long term?
Tom Liguori: That's realistic, and that's where we'd like to be. I mean, there will be ups and downs in any given quarter. But but, yes, Chris, that is realistic.
Chris Moore: Perfect. I will leave it there. I appreciate it.
Operator: Our next question is from Brent Thielman with D. A. Davidson. Please proceed.
Tom Liguori: Hey, great. Thanks.
Brent Thielman: Good morning. Great quarter. I guess just a question on the agriculture business. It looks like the backlog is lower, but I know the project business can be sort of episodic. Are you are you seeing sort of industry fundamentals right now
Adam Farley: impacting the project
Brent Thielman: business pipeline? In other words, are those opportunities sliding? Should we read too much into this backlog? Just trying to get a sense for that.
Avner Applbaum: Yeah. It's a it's a good question. And you know, when you look at our project business let me start off with, like, there there there's no change in in the market environment. When the market environment continues to support the need for food security really in that region. And that's the demand driver, which is different than what we've seen in, like, North America and and Brazil, which is more the the crop prices. So the the market continues to be strength. Our pipeline is is strong. And, actually, we have a pretty good and diverse pipeline right now. So it's not just Middle East. It's not North Africa. It's South Africa. It's it's a more broader pipeline. We're really pleased where it is where where it stands right now. We'll support our 2026 goals. What we always need to keep in mind, there's always project timing Last year was more back-end loaded. This year was more front-end loaded. So these things move overall, but you know, we're happy year to date. We're we're up double digits. And we're looking forward to another strong year in the in that in that part of the world.
Brent Thielman: Okay. Appreciate that, Avner. And I guess,
Chris Moore: know, a lot of good things going on in the infrastructure segment. I guess I'll I'll pick on L and T just a little bit. I mean, when you look at your your backlog within the the overall group and or sort of order trends, lighting transportation? Is there anything Avner, to point to which might suggest some stabilization on the horizon? Or you're sort of expecting, you know, some softness to continue here?
Avner Applbaum: Well, that that's a fair question. You know, we we've seen in in the lighting and transportation, continued softness in lighting, particularly in Asia Pac, as well as weaker construction activity. In North America, again, also, lighting's been a little weak, but transportation
Brent Thielman: continues to
Avner Applbaum: be steady driven by the need for for critical infrastructure. But but the reality is that this business should perform better We did have some operational issues. But we've we've made meaningful progress on reshaping this business. We have new leadership in place. We have a simpler structure. We have a strong alignment between our commercial and operations team. And focusing on our factory performance, delivery, and discipline. All of these areas are improving, and we're seeing early traction. Some of these elements are they they're not gonna be overnight. So some could take a little bit more time to play out. But, really, what matters is the foundation is solid. We have clear plans, and we're confident in the direct direction and the momentum we're building So overall, if I sum it up, I'd say transportation's healthy. Actions we're taking to strengthen the business are are in play. And these and then we will see growth as these challenge as yeah, as these challenges, take place.
Tom Liguori: K. Great. Thank you. Our next question is from Brian Drab with William Blair. Please proceed.
Brent Thielman: Hi, good morning. Thanks for taking my questions. I did want to go back to utility just
Tom Liguori: for a minute. And
Brian Drab: you know, the reason is just that the this is, obviously, a topic of of a lot of discussion right now for you given part, the, you know, the history of what what the last know, one of the last booms in demand for utility resulted in too much capacity coming online, and you really did a good job addressing that today. But I was just wondering if we could talk a little bit more about you know, why is the expectation and why why have you achieved, as Tom said, you know, well over 20% incremental margin operating margin on the utility capacity that's coming online. And I I maybe I should clarify too. You are talking about operating margin. And you know, in the past, it's been much lower than that. So, you know, can you can you just talk a little bit about why why is the margin that high? And and what you're seeing in a little more detail across the industry? That gives you confidence that people aren't bringing on too much capacity.
Avner Applbaum: Perfect. I'll I'll I'll take I'll take that, and then Tom can share more information around the the margins. And and, actually, I'm glad you brought that up. Since I I spent already a time on the capacity, our internal capacity, but it is really important to understand the dynamics around the industry capacity because we do get that question a lot. So the simple truth is it's a high bar approval driven industry. It's not about building a plan. You know, it's it's about decades of of engineering know-how, certified well procedures, material science, and the ability to design and deliver, you know, the safety critical grid structures. And utilities, they don't add suppliers overnight. Every facility, every product line need to be qualified and approved. Before they can supply one transmission or or substation project. It takes time. You need proven field performance. You need deep customer relationship that build through for us, built through thousands of on-time delivery and problem solving in the field. And it's also an industry there's only a few players that have the financial strength, supply chain depth, technical engineering capabilities, to really meaningfully add capacity. Mhmm. They're long lead, high investment programs. You need capital to build. You need people to execute. And you need the customer trust. And we're one of those few players, and we're actually the leader in this space. And as I just mentioned, right, we have we have our our healthy utilization of capacity at this time. So overall, I'd say the barriers to entry here are real. Engineering, capital, manufacturing, supply train, and trust. And you know, we we manage and we monitor that, the industry capacity very close And we could see its balance today. And even if at some point, you know, the industry adds a little bit too much, demand will catch up quickly. So So overall, we we we feel good of where we are. We we good on where the industry is right now. And we're in a strong position to maintain our leadership in this space. So that's how we kind of we look at the industry capacity and Tom can just share a little bit about the margins. Sure. Brian, on the margins, very healthy margins.
Tom Liguori: From capacity expansion. We have good pricing for the reason that Avenue just said. Our engineering capability, our on-time delivery, our scale, But also keep in mind, these expansion projects, they're brownfield. So we're taking our existing plants, and we're adding welding stations, break presses, and other capital equipment. So we're getting more throughput from existing plants. So we get the benefit of you know, basically better fixed cost absorption. So both pricing and for closer brownfield is why we get over 20% operating margin.
Brian Drab: Okay. Thank you. And then for my follow-up, can can you just put a little bit of a finer point on what is driving current demand in utility across the different product lines in terms of maybe you know, large transmission structures substations, you know, and other categories and and you know, is is it are you start starting to see demand you know, specifically related to the you know, AI data center boom and tying those, to the grid.
Avner Applbaum: Yeah. Thanks. So we're we're seeing strong demand across the board. Right? And and, first of all, in all product lines, transmission, distribution, substations, large projects, smaller projects, All these all these megatrends are real. You know, if you're talking about the electrification,
Chris Moore: AI,
Avner Applbaum: grid connectivity, resiliency, everything that we've been we've been talking, about, the the load growth that we we haven't seen in a while, And, of course, AI and and data centers are a key driver as well. We know they're they're a large consumer of of energy. So we we don't see slowness in in any area. All of our customers are are showing extremely strong demand where our backlog is well into, 2026. And and the the good thing right now, it's not one single driver. And it's not one single, customer. Right? It's it's very broad. And all indications are that this this will continue to for a while on all the transmission and then you'll add another legs to that when they're ready to focus more on on hardening and reliability and so, overall, to to sum it up, I mean, we are very excited around where the utility space is today with with the strong drivers and our ability to execute based on our relationship with our customers, our engineering, manufacturing, that that makes us a key partner to our customers. So overall, feel very positive.
Brian Drab: Great. Thanks thanks very much.
Operator: As a reminder, it is star one on your telephone keypad. If you would like to ask a question. Our next question is from Tomohiko Asano with JPMorgan. Please
Brian Drab: Good morning, everyone.
Avner Applbaum: Good Good morning.
Brian Drab: Thank you for taking my questions. My first question is
Tomohiko Asano: utility segment pricing. You mentioned recent favorable price in the U2D segment. But could you provide more color on outlook pricing trends, especially you talked about the three types of capacity expansions? And and competitors also expanding capacity going forward. How like, would we think about the stepping up for the pricing trends for 2026 or beyond? Could you could we get more color on this, please?
Tom Liguori: Sure. So the pricing I told them, The pricing in this quarter most of it is because in the beginning of the year, with our tariff mitigation plans, it was both supply chain changes, but we passed it on pricing. And there's a delay from when you bid and and when these products ship. We're seeing, part of that. Going forward, you know, that will continue. You know, our head of utility often talks about the bid market. The bid market is very strong. The demand supply remains tight. We are quoting, you know, very healthy margins and winning projects. So know, I think pricing outlook remains strong for for at least the foreseeable future, if not for some time.
Tomohiko Asano: Thank you, Tom. And my question's on agriculture margins. So regarding the decline agriculture margin, you mentioned it was due to lower sales and bad debt expense of $11 million Do you expect these levels of bad debt expense to continue in the fourth quarter and beyond?
Tom Liguori: Yes. So that's a really good question. I'm glad you asked that. So we worked with the Brazil team this this quarter know, about exposures, and we did we thought it was prudent to to book the 11 million of receivable
Chris Moore: reserves.
Tom Liguori: But we are still attempting to to make those collections. You know, if we take that out, operating margins for ag are about 14%. So there are a few remaining issues that we're working to bring to resolution. In the fourth quarter, and that is reflected in our guidance. And our whole intent here is to get these exposures behind us financially and put in processes so that, you know, they don't repeat, and we we feel very good about that. So I think when you look at ag operating margins, you know, Q4 could be another challenging quarter. But when we get into Q1, we believe we'll have these issues behind us. And even with the
Tomohiko Asano: the the current revenues, we had flat revenues in Q1. You would see a double digit
Tom Liguori: operating margin, and that's what we would expect going forward. Thank
Tomohiko Asano: That's all I have, and congrats on quarter.
Renee Campbell: Thank you, Chamuku.
Operator: We have reached the end of our question and session. I will now turn the call over to Renee Campbell for closing remarks.
Renee Campbell: Thank you for joining us today. A replay of this call will be available for playback on our website and by phone for the next seven days. We look forward to speaking with you again next quarter.
Operator: These slides and the accompanying oral discussion contain
Jean Velez: forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on assumptions made by management considering its experience in the industries where Valmont Industries, Inc. operates. Perceptions of historical trends, current conditions, expected future developments, and other relevant factors. It is important to note that these statements are not guarantees of future performance or results They involve risks, uncertainties, some of which are beyond Valmont Industries, Inc.'s control, and assumptions. While management believes these forward-looking statements are based on reasonable assumptions, numerous factors could cause actual results to differ materially from those anticipated. These factors include, among other things, risks described in Valmont Industries, Inc.'s reports to the Securities and Exchange Commission, SEC, company's actual cash flows and net income, future economic and market circumstances, industry conditions, company performance and financial results, operational efficiencies, availability and price of raw materials, availability and market acceptance of new products, product pricing, domestic and international competitive environments, geopolitical risks, and actions and policy changes by domestic and foreign governments. Including tariffs. The company cautions that any forward-looking statements in this release are made as of its publication date and does not undertake to update these statements except as required by law. The company's guidance includes certain non-GAAP financial measures, adjusted diluted earnings per share and adjusted effective tax rate, presented on a forward-looking basis. These measures are typically calculated by excluding the impact of items such as foreign exchange, acquisitions, divestitures, realignment or restructuring expenses, goodwill or intangible asset impairment, changes in tax laws or rates, change in redemption value of redeemable non-controlling interest, and other nonrecurring items. Reconciliations to the most directly comparable GAAP financial measures are not provided. As the company cannot do so without unreasonable effort due to the inherent and difficulty in predicting the timing and financial impact of such items. For the same reasons, the company cannot assess the likely significant of unavailable information, which could be material to future results.
Operator: This concludes today's conference. You may disconnect your lines at this time. And thank you for your participation.